Operator: Good afternoon. My name is Lisa. I’ll be your conference operator today. At this time, I would like welcome everyone today MaxLinear Quarter One 2016 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks we have question-and-answer session. [Operator Instructions]. At this time, I would like to turn the conference over to Mr. Gideon Massey, Investor Relation Specialist.
Gideon Massey: Thank you, operator. Good afternoon, everyone, and thank you for joining us on today's conference call to discuss MaxLinear's first quarter 2016 financial results. Today's call is being hosted by Dr. Kishore Seendripu, CEO; and Adam Spice, CFO. During the course of this conference call, we will make projections or other statements regarding future conditions or events relating to our products and business. Among these statements, we will provide information relating to our current expectations for second quarter 2016 revenue, including expectations for revenue trends in our cable, terrestrial, satellite, high-speed interconnect, and other target markets; gross profit percentage; and operating expenses. The impact of our completed acquisition of Microsemi, wireless access, business unit and are announced pending acquisition broadcast Microwave Backhaul business, and our current views regarding opportunities and trends in our markets, including our current views of the potential for growth in each of our target markets. These statements are forward-looking statements within the meaning of federal securities laws, and actual results may differ materially from results reflected in these forward-looking statements. We are subject to substantial risks and uncertainties that could adversely affect our future results. Our business and future operating results could be adversely affected if our current target markets including the terrestrial, cable, satellite, high-speed interconnect, and wireless infrastructure markets do not grow as we currently expect, or if we are not successful in expanding our target addressable markets through acquisition or the introduction of new products. Acquisitions including our recently completed and pending acquisitions of wireless infrastructure product lines, present particular risk relating to our ability to integrate the acquired businesses and maintain relationships with key employees, customers, suppliers and other third-party. In addition, substantial competition in our industry, potential declines in average selling prices, risks arising from consolidation in our industry and among broadband operators in our principal target markets, risks related to intellectual property protection and outstanding intellectual properties litigation, and cyclicality in the semiconductor industry could adversely affect our future operating results. For a more detailed discussion of these risks and other factors you should consider evaluating MaxLinear and its prospects. Please refer to the information included under the caption risk factors in our filings with the Securities and Exchange Commission, including in particular our Form 10-K for fiscal 2015 was filed with the SEC in February 2016, the Form 10-Q we filed today in other SEC filing. These forward-looking statements are made as of today, and MaxLinear does not currently intend, and has no obligation to update or revise any forward-looking statements. The first quarter 2016 earnings release is available on the Company website at maxlinear.com. In addition, MaxLinear reports gross profit, income loss from operations, and net income loss, and basic and diluted net income loss per share, in accordance with GAAP, and additionally on a non-GAAP basis. Our non-GAAP presentations exclude the effect of stock-based compensation expense and its related tax effects, accruals under our equity settlement performance-based bonus plan, outstanding patent litigation, deferred merger proceeds, and change in fair value of contingent consideration, restructuring charges, impairment and amortization of acquisition-related intangibles, non-recurring acquisition and integration-related expenses, production mask impairment, and release of valuation allowance due to net deferred liability acquired. Management believes that this non-GAAP information is useful because it can enhance the understanding of the Company's ongoing economic performance; and MaxLinear, therefore, uses non-GAAP reporting internally to evaluate and manage the Company's operation. MaxLinear has chosen to provide this information to investors to enable them to perform comparisons of operation results in a manner similar to how the Company internally analyzes its operating results. The full reconciliation of GAAP to non-GAAP financial data can be found in our earnings release issued earlier today. The earnings release and reconciliation is available on our website, and we ask that you review them in conjunction with this call. And now let me turn the call over to Kishore Seendripu, CEO of MaxLinear.
Kishore Seendripu: Thank you, Gideon and good afternoon everyone, thank you all for joining us today. Before jumping into the details of the financial results, we are very excited about the steps we have taken to accelerate and expand the strategic initiatives in infrastructure markets they are leveraging our core CMOS RF mixed-signal technology platform. Combined with the recent acquisition of Microsemi's wireless access infrastructure 3G and 4G radio assets and today's announcement of having signed a definitely agreement to acquire Broadcom's Wireless Infrastructure Backlog Business, we're in a strong position to address the rapidly growing multibillion-dollar wireless infrastructure market. Before getting into the details of these transactions, we are pleased to have delivered record revenue of $102.7 million in Q1 of 2016. The corresponding record operating cash flow generation of $39 million reflects the success of our continued focus on supply chain optimization and tight operating expense management efforts. First quarter revenue was up 4% sequentially and 190% year-over-year. This sequential revenue increase was driven by continued momentum in the early ramp of our high-speed optical interconnect solutions as well as strength across a range of applications in our cable and satellite operator, CPE markets and legacy video SoCs. These results highlight the successful diversification of our revenue streams from both our organic initiative and our acquisitions of Physpeed and Entropic Communications. We are equally excited about our gross margin improvement execution as we posted GAAP gross margin of 59.6% and non-GAAP gross margin of 61.3% which exceeded the 60% threshold for the first time since our acquisition of Entropic in Q2 of 2015. We believe that we have lead the essential ground work, both operationally and strategically for delivering a sustainable 60% plus gross margin business moving forward. Now moving to the specific business highlights for the first quarter of 2016. Operator revenues grew 1% sequentially and accounted for 74% of total revenue in the quarter. Operator-based revenues benefited from particularly strong 4K resolution satellite gateway of front-end shipments and RF mixed signal front-ends with cable video applications. Cable data gateway revenues were up over 10% sequentially, due to a surge in 8-channel DOCSIS 3.0 serving Latin American markets and a pick-up in 24-channel demand, which we expect to continue into Q2. However, softness is satellite channels stacking outdoor unit deployment and operator-based terrestrial set-top box receiver shipments offset some of these strong revenue growth trends. The DOCSIS data gateway market continues to be an exciting and strategic growth platform for us, which enables us to address the expanding over-the-top video and data markets. Our customer design wins and operator engagements around the new multi-gigabit cable DOCSIS 3.1 standard-based data services are gathering strong momentum ahead of the initial product roll-outs expected in the second-half. We are excited about the underlying market dynamics supporting the DOCSIS 3.1 product cycle, as well as our leadership position competitively in both cable data front-end and companion PDAs. We expect a multi-year upgrade cycle to drive solid growth for our cable data business due to new DOCSIS 3.1 deployments. Within our satellite family of products revenue growth resulted from a step function increase in satellite gateway of Full Spectrum Capture receiver deployment driven by the resumption of next generation gateway rollout across multiple Tier 1 operators in North America and Europe. We also benefited from strong demand for MoCA deployment into a satellite platform. As mentioned before, strengthening these categories offset softness in satellite channels back in demand relative to a particularly strong Q4. As highlighted before, MoCA is a strategic and complementary asset between our operative portfolio. We are now in a unique position to enable gigabit-plus bandwidth in one distribution to multiple devices using MoCA 2.0 and 2.5 gigabit per second plus bandwidth distribution using MoCA 2.5, which is an increasingly strategic imperative for our broadband operative partners. Moving to our infrastructure and other product revenues, which was roughly 10% of our total revenues in the quarter. We witnessed a strong and continuing ramp in shipments of our high-speed optical interconnect products specifically our long-haul a 100 gigabit per second laser drivers shipping to Chinese OEMs. The strong growth in Q1 combined with the significant improvements in our supply constrains, boosts our confidence in meeting our 2016 growth target of $10 million to $20 million in high-speed interconnect revenue. We continue to leverage MaxLinear's world-class engineering and operations capabilities to expand into the high-speed optical integrate market as evidence by our new product announcements at the Optical Fiber Conference in March. At OFC, we announced and demonstrated our first family of high performance trans-impedance amplifiers or TIA solutions consisting of the MxL9101 and the MxL9103 devices. These devices feature not only the best in class sensitivity for a range of 100 gigabit per second plus NRZ and PAM-4 data center applications, but also have industry's lowest participation. Lastly, legacy video SoC revenues derived from the Entropic acquisition with $16.7 million in the quarter increasing to 16% of total revenues, which is approximately 14% in the prior quarter. As expected we witnessed both seasonal and potential last time buy related strength in cable HD-DTA revenues. This will likely proved to be temporary as our backlog points to a weaker second quarter for this business. Looking ahead we also see some uncertainty and potential weakness in demand, owing to the lack of visibility on deployment plans of the recently combined Time Warner and Charter Communications cable operations. I would now like to share some brief perspective on strategic rational underpinning our recently announced acquisitions of Broadcom Wireless Infrastructure Backhaul Business and Microsemi's Wireless Infrastructure assets for approximately $80 million and $21 million respectively. With the Broadcom Backhaul business we will acquire its proven market leading Microwave and Millimeter-wave backhaul modem capabilities, which we will combine with our organically developed Microwave RF transceiver solutions. Together, they will constitute the world's first complete and most advanced wireless backhaul technology platform and only full system solution. Broadcom's hardware, software and system level expertise developed over a 15-year period have secured meaningful design wins at Tier 1 wireless infrastructure OEM customers. This acquisition of Broadcom's baseband technology platform not only accelerates the time to revenue in our target wireless infrastructure market, but also enhance a significantly the market share prospects of our organic Microwave Backhaul remote radio head transceiver offering. We expect to sample our remote outdoor unit CMOS microwave radio single-chip solution a bit later this year. Suffice to say that we have great confidence in the revenue synergies and Tier 1 OEM customer acquisition potential resulting from the consolidation of our offerings. We are also excited to have acquired the Microsemi wireless infrastructure 3G, 4G access technology platform. We see a very exciting growth potential represented by the migration of wireless infrastructure access markets from 2G, 3G and 4G to ultimately 5G deployment, characterized by the proliferation of multiple higher frequency range cellular band and dramatic increases in channel bandwidth requirements. This migration significantly increases the complexity of wireless access technology and vastly increases the number of transceivers required in each remote radio heads inside macro and micro wireless base stations. Factoring in our organic road map, we believe that we have assemble a comprehensive set of key wireless access and backhaul technologies that enable us to bring to our customers a new level of performance, power efficiency and cost optimization benefits in their platform. We are a silicon content in wireless access and backhaul market is large. Based on third-party data and management estimates, MaxLinear believes that the serviceable available market consisting of wireless infrastructure backhaul baseband and RF transceiver solutions and wireless infrastructure access RF transceivers will be approximately $700 million in 2016. We expect that this market alone will grow to above $1 billion by 2021, excluding the multi-billion dollar market opportunity represented by next generation 5G wireless network deployments. Both of the recently announced acquisition shared key attributes. First, the technology that acquired address large and growing markets that are in much need of cost and power improvements, which can be enabled by CMOS RF integration. This need placed to our code digital CMOS RF mix single design strength and creates an opportunity for sustainable differentiation. Also these acquisitions not only aligned with our strategy of expanding our serviceable addressable markets with particular focus on the long product cycle infrastructure markets. But they also accelerate are time to revenue in a manner that is consistent with the long-term revenue growth gross margin and operating margin targets. In conclusion, we are extremely pleased to have delivered a record revenue quarter along with gross margin expansion and strong cash generation. But expanding portfolio market leading broadband access and connectivity solutions has positioned MaxLinear extremely well to address the key challenges fees they’re operator partners. Simultaneously, our recently announce wireless acquisitions combined with organic initiatives division in backhaul RF technologies together with the rapidly growing high-speed fiber interconnect products. Significantly accelerate our ability to address and grow revenues in the large and growing wireless and wired infrastructure market. We look forward to sharing more information regarding the progress you know infrastructure initiatives in the coming months. With that, let me turn the call over to Mr. Adam Spice, our Chief Financial Officer, for a review of the financials and our forward guidance.
Adam Spice: Thank you, Kishore. Our Q1 revenue of $102.7 million, GAAP and non-GAAP gross margins for the first quarter were approximately 59.6% and 61.3% of revenue respectively versus our original guidance of 57% for GAAP and 59% to 60% for non-GAAP gross margin. This compares to GAAP and non-GAAP gross margin of 56.4% and 58.1% respectively in the fourth quarter of 2015 and GAAP and non-GAAP gross margins of 61.2% and 61.3% respectively in the year-ago quarter. The delta between GAAP and non-GAAP gross margins in the first quarter was primarily related to the amortization of $1.6 million of acquisition-related purchased intangibles, and approximately $0.1 million related to stock-based compensation and stock-based bonus accruals. Q1 GAAP operating expenses were approximately $39.5 million and $1 million above guidance, due primarily to $2.1 million facility restructuring expense as we finalized subleases and associated expenses on all remaining former Entropic facilities which was partially offset by lower than forecast non-GAAP operating expenses of about $1 million. GAAP operating expenses included $0.3 million of restricted merger proceeds and continued consideration related to our Physpeed acquisition and $0.4 million for the amortization of purchase intangible assets acquire from Physpeed Entropic. Accruals related to stock-based compensation and stock-based bonus and incentive plans were $4.8 million and $2.0 million respectively. And we incurred [Audio dip] of professional fees related to the Cresta Technology's patent litigation and expenses related to our recently announced acquisitions. Consistent with 2015, payouts under our 2016 performance bonus plan are expected to be settled primarily in shares of MaxLinear stock. Net of these items, non-GAAP OpEx was $29.5 million, $1 million below our prior guidance of $30.5 million, $2 million higher than Q4 2015, and up approximately $11.5 million from the year-ago quarter. Roughly half of the underage relative to guidance resulted from continuing efficiencies resulting an slower than anticipated hiring with the balance coming from a combination of accelerated at repayments, push out of embedded IP purchases into second quarter and release of prior bad debt allowance. First quarter GAAP operating expense attributable to R&D was up approximately $1.1 million quarter-on-quarter, and increased $8.5 million year-on-year at $23.8 million, which included stock-based compensation of $3.1 million, $1.4 million related to the 2015 stock-based bonus plan and incentive awards and $0.2 in Physpeed deferred merger proceeds and contingent consideration, and $0.1 for the amortization of purchased intangible assets. Excluding these items, first quarter non-GAAP R&D was up approximately $1.9 million on a quarter-on-quarter basis to $19 million. Within this R&D spending increase there were $1.7 million related to tape-out and prototyping expenses and $0.7 million was driven by headcount increases as well as seasonal step ups and payroll taxes. These sequential increases were partially offset by about $0.8 million in annual repayments and decline and spending on outsource projects for that previously mentioned tape-outs. First quarter GAAP OpEx attributable to SG&A was down approximately $4.4 million quarter-on-quarter and up $2.7 million from the year-ago quarter to $13.6 million. GAAP SG&A expenses included $1.7 million in stock-based compensation, $0.6 million in stock-based bonus plan accruals and incentives compensation and $0.4 million in net professional fees related to the recently announced acquisitions and the Cresta Tech patent litigation, and $0.3 million for the amortization of Entropic intangible assets. Excluding these items, first quarter non-GAAP SG&A was up $0.2 million on a quarter-on-quarter basis to $10.5 million driven primarily by minor headcount additions and seasonal payroll related step-ups, partially offset by lower professional fees and the recovery of some bad debt receivables that had previously been written down. At the end of the first quarter of 2016, our headcount was 506 as compared to 500 at the end of the fourth quarter of 2015 and 352 at the end of the first quarter of 2015. We continue to evaluate our staffing levels globally, particularly following our recent acquisition activity, to strike a balance between driving near-term bottom-line operating leverage and staffing key long-term growth initiatives. We continue to look to derive operating leverage by appropriately balancing hiring across our locations in the U.S., India, China, and Taiwan and Canada. GAAP income from operations was $21.7 million in Q1 compared to a loss from operations of $8.7 million in the prior quarter and a loss of $4.6 million in Q1 of last year. GAAP earnings per share in the first quarter were $0.29 on fully diluted shares outstanding of 65.8 million. This compares to GAAP loss per share of $0.14 in the prior quarter and a net loss of $0.12 per share in Q1 of last year. Non-GAAP earnings per share in Q1 were $0.47 on fully diluted shares of 65.8 million compared to $0.46 per share in Q4 of 2015, and $0.09 per share in Q1 of last year. Moving to the balance sheet and cash flow statements, our cash, cash equivalents, and investments balance increased $36.3 million from the end of Q4 2015 to approximately $166.8 million, and increased $85.6 million as compared to the $81.3 million in Q4 of last year. Our cash flow from operations in the first quarter 2016 was approximately $39 million versus $24.6 million generated in the fourth quarter of 2015 and $3.8 million in the year-ago quarter. Our days sales outstanding for the first quarter was approximately 37 days or 2 day less than the prior quarter, and 17 days less than the year-ago quarter. As a reminder, we only recognize revenue on a sell-through basis. And as such, we are not subject to revenue fluctuations caused by changes in distributor inventory levels. Our inventory turns were 5.4 in the first quarter compared to 5.0 turns in the fourth quarter and 4.6 turns in the year-ago quarter. Having closed the Microsemi deal on April 28th, our second quarter guidance will include partial revenue contributions from this business, including timing adjustments to revenue contribution, as we can form the business to our sell-through revenue recognition model for distributor shipments. MaxLinear may record acquisition related charges, including those for amortization of purchase intangible assets in the second quarter of 2016 related to the acquisition. The amounts of these charges have not yet been determined and are not currently contemplated in our upcoming guidance for the second quarter. We expect Broadcom's Wireless Infrastructure Backhaul acquisition to close on/or around July 1, 2016 subject to customary conditions and regulatory approvals and as such, our guidance for Q2 does not include any operating contribution impacts in the second quarter. That leaves me to our guidance. We expect revenue in the second quarter of 2016 to be in the range of $100 million to $104 million. Built into this range, we expect operator revenues to account for roughly 78% of overall revenue; infrastructure and other 14%; and legacy video SoC, approximately 8%. More specifically, within operator, we expect growth to be driven primarily by our cable data in our cable specific MoCA business, partially offset by lower analog channel stacking and cable video receiver shipments. Within infrastructure and other, we expect declines in consumer terrestrial set-top box shipments to be more than offset by continued early ramp in high-speed interconnect revenues and a modest contribution from our wireless access products related to the Microsemi acquisition. Within our legacy video SoC markets we expect declines to be derived from seasonality in the North American cable HD-DTA deployments and the impact of potential last time buys realized in the first quarter related to a North American operators HD-DTA platform. We expect GAAP gross profit margin to be between 60% and 61% of revenue and non-GAAP gross profit margin percentage to be between 62% and 63% of revenue in the second quarter. Our gross profit margin forecast could vary plus or minus 2% depending on product mix and other factors. We continue to fund strategic development targeted at delivering attractive topline growth in 2016 and beyond with a particular focus on infrastructure initiatives and our goals of increasing the operating leverage in the business. Excluding the previously referenced to be determined, potential acquisition-related charges, related to the Microsemi Wireless Infrastructure Access acquisition, we expect Q2 2016 GAAP operating expenses to increase approximately $1.5 million quarter-on-quarter to approximately $41 million, with the largest increases coming from headcount additions, primarily related to the Microsemi acquisition and its incremental deal related professional fees and expenses and the costs associated with the Company's move to its new Irvine location later in May. These sequential increases will be partially offset by the lack of prior quarter's $2.1 million facilities related restructuring charge and peak tape out related expenses. We expect Q2, 2016 non-GAAP operating expenses will increase $2.5 million sequentially to approximately $32 million, driven largely by the earlier referenced headcount additions and other expenses related to the recently closed Microsemi asset acquisition, partially offset by the lack of the prior quarter's peak tape out expenses. In closing, we are pleased to put a cap on a very eventful first quarter 2016, reporting record Q1 revenues and a Company expansion in both gross and operating margins, and record cash flow generation, by our diversification and TAM expansion initiatives. We expect the increased diversification of our business through strategic acquisitions and organic development initiatives positions us to benefit from the growing demand for bandwidth across consumer, operator and infrastructure platforms. And with that, I'd like to open the call to questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question will come from the line of Gary Mobley.
Gary Mobley: Hi, guys. Congrats on a good quarter and just having general strength in your business, and as well the consummation of these recent acquisitions. I had a question about the Broadcom limited acquisition to be clear is this the Provigent assets Broadcom acquired several years ago, and if I'm not mistaken, didn't Broadcom pay roughly $300 million for those assets. And purchase price for you is only $80 million and I was wondering if that's indicative of maybe the business seen some declines in revenue, some tough times or is it more indicative of the potential market for [indiscernible] for this business?
Adam Spice: Yes. Gary. This is Adam. I’ll take the first part of that and I'll let Kishore comment on latter portion. So yes, this is the Provigent business that was acquired by Broadcom back in 2011. I don’t have the actual press release from when they announced the deal, but I think your purchase price range is about right. Of course, there's been considerable investment in the business since that 2011 acquisition. So, I think what we're acquiring is a significantly more matured asset then what was acquired at the time. And as you know sometimes in new businesses time can be your friend or your enemy. I think in this case, we're benefiting from the fact that there's been quite a bit investment through the Provigent period plus through the post Broadcom ownership period. So, we're very excited about having the business in the fold. And I guess with your comment based on kind of the range of buyers and so forth, and hard times or not I'll let Kishore comment on that.
Kishore Seendripu: Hi, Gary. Thank you. I just want to make a note here that for us the acquisition of the Broadcom's baseband modem assets for Microwave Backhaul is a fantastic complementary fit to our organic investments in Microwave Backhaul outdoor unit radios. On our roadmap, as we have told you earlier, we're in the path after finishing of the radio to invest in the modem in order to own the complete end-to-end system both for the split outdoor-indoor unit implementation of the backhaul or an all outdoor unit active antenna implementation. So, it's a very, very great fit for us. Having said that, I think I can only speak as to the reasons why what has transpired over time. I think they were early for their markets and they did not have a world class radio solution that spans the entire frequency bands from 5 gigahertz to 45 gigahertz in the microwave spectrum. That's taken them a long time to develop and a lack of radio really handicapped them from owning the full system and running the revenue growth that probably was anticipated at time of Broadcom’s acquisition. What you have today is by combining both the assets – exactly the full system solution one would require to create the revenue synergies and customer market share acquisition prospects to really have a good growing revenue. All I can tell you right now is that the prospects of growth in revenue of the acquisition are quite clear. We are very excited about it and this will be a growth business where MaxLinear from a revenue point of view.
Gary Mobley: Okay, thanks. Relating to that, I had a question about the gross margin for the products you're acquiring from Microsemi and as well here from Broadcom Limited. I'm assuming that gross margins for this particular product set or these product sets are higher than the corporate average or at least comparable to some of the higher end products that you've, and with that in mind and in the mix growing leading to this microwave RF business, and then as well the decline in the low margin Entropic set-top box business, should we think about the new gross margin long-term growth potential for MaxLinear being 62% plus versus the 60% Kishore that you quoted?
Kishore Seendripu: So absolutely I would say that – let me characterize clearly at this point of these acquisitions its really early to tell what kind of gross was exactly we can dial into given the two acquisitions come from two different large companies and their procurement models will be quite different than MaxLinear’s. Having said that, I think I am very happy and confident to tell you that we should see an upward bias in the gross margin at or above the corporate margins we have today as a result of these acquisitions. Moving to the next topic about gross margin bias and sustainability of gross margin about 60%. Yes, I think we have affirmatively said in the call just now that we see a path to sustainable 60% plus gross margin, we have cleared that hurdle in Q1 and we're guiding to a higher gross margin in Q2. So, I would say that the company is on a solid footing to towards the earlier higher gross margins of 60% to 62%. And hopefully as time goes by in the mid-to-longer-term we could exceed that as a result of the mix changing. But for now, your assumptions or your speculation regarding 60% to 62% is quite supportable.
Gary Mobley: Okay. Thanks guys.
Operator: Your next question will come from the line of Tore Svanberg.
Tore Svanberg: Yes, thank you and congratulations on the results. First question coming back to the Broadcom Provigent assets? Can you just elaborate Kishore a little bit of how important it is to have an end-to-end solution in that market because obviously historically you've been much more on the RF signal chain – integrating the baseband? So help us understand a little bit, why that is so important in this particular market?
Kishore Seendripu: Okay, firstly Tore, I want to make it very clear that the organic development in Microwave Backhaul Radio RF that MaxLinear has been embarked on, and which we said will be announcing later in the middle to the end of the year. That is independent of which baseband you work with. Having said that, all the Tier 1 customers have had internal FPGA developments or their own baseband ASIC solutions. What Broadcom ASIC provides us is the ability to control both the baseband and the RF to really interact smoothly to each other to enhance the performance; also Broadcom was already on its path to – with agreements of development with various Tier 1 OEM customers to use their baseband modem in the Microwave Backhaul market. So, we felt that was a wonderful fit and while that model is valid in a split implementation that means that today’s implementation of the backhauls have a separate outdoor unit and a separate indoor unit. Indoor unit is a modem and the outdoor unit is the radio. Moving forward, as we evolve towards 5G markets, they are going to be standalone all outdoor units where the entire system will fit on an antenna and so you have the RF at the baseband sitting together where power is incredibly important, bandwidth is incredibly important. And all those factors allow us to optimize using our CMOS technology to integrate both of them. I want to qualify your statement about we have traditionally been on the RF side and not the baseband modem side. Actually all of our cable Full-Spectrum Capture receivers and satellite RF front-end receivers, they all have significant DEMOD mode in content. So this really, we're not doing any of the packet processing on the processor work. It's just a pure layer one implementations of RF and digital signal processing. To that extent it's a Pure-Fi that includes the RF and the DSP. So, it is not an expansion of our product platform technology. It's within the context of our platform of RF mixed signal technologies implemented in CMOS. So, we have just accelerated our road map, so that we can have some robust mix of infrastructure revenues in our portfolio and at the same time a growing portfolio of revenues when you couple with our microwave radio solutions that will be announced pretty soon.
Tore Svanberg: That’s very helpful, Kishore. When you look at the Entropic acquisition that they have come with some legacy businesses that are declining. If you look at these two and I think you made a statement that these are clearly growth businesses. I assume there will be no legacy businesses here that could potentially face a headwind?
Kishore Seendripu: Yes, you're absolutely right. The attractiveness of both these acquisitions are they have design traction, design wins that are just ramping in one - and some have already ramped and growing still because the adoption of these technology is much more recent as a trend towards more and more integration of MIMO systems both in backhaul and wireless access represented by the Microsemi assets that we acquired. So these are growth businesses, there are no declining businesses. And that also is partially the reason why we are very excited about these because we like the growth nature of these businesses and we will put some of the headwinds of the legacy solutions of Entropic behind us with these products solidly in our mix and will really look, when you look at MaxLinear. It will be nothing but a comprehensive RF mixed-signal DSP technology platform across the broadband and infrastructure space, both with wireless and wireless and when legacy video associate is fully gone out of our system. And they should be very nice upward margin by us, long product cycles, and huge TAMs, multi-billion dollar TAMs, so we can keep investing to convert our TAMs into SAMs as we move forward steadily with no more distractions.
Tore Svanberg: Question for Adam. Adam, you mentioned the video SoC business declined about 8% of revenue in Q2. It sounds that you're taking a pretty big haircut to the analog channel-stack switch business. You obviously, didn't give any guidance there, but as we just saw the math, it just sound like, you are at least assuming that business could come down quite a bit in Q2. Would that be correct?
Adam Spice: Well, I think the focus really is so. If you look at the commentary, yes, the video SoC business is going to be certainly softer in Q2 as we talked about in our guidance. I think when you look at the channel stacking products as a category, you're not - the same dynamic is not in play, it's much more of a stable kind of view when you look across the analog and digital for the next couple of quarters. So I think they're very different. And we do look - we look at legacy video SoC as kind of a stand-alone, that's why we've kind of separate it out and provide the visibility there, it's because there is very different dynamics we’ve always viewed channel stacking as not analog versus digital, but what is the category of channel stacking represent as an opportunity for the Company. And like I said that that is a much more stable outlook for the next couple of quarters.
Tore Svanberg: Very good. Just one last question, so your free cash flow now is higher than your non-GAAP net income, which I guess makes the GAAP versus non-GAAP discussion a bit irrelevant. But was there anything unique in the quarter that caused that free cash flow to be as high it was or should we sort of think of this being the base level and then we'll grow from here on now?
Adam Spice: The only real unique thing in the quarter was really the facility's restructuring charges that we talked about, where we put the last of the Entropic facilities under sublease. So we got that up from underneath us, but it did incur a charge because, previously you based the restructuring estimates based on – again estimates, and then once we actually had subleases fully executed and we knew for certainty, what that cash flows are going to be, then we basically trued that up and that was the one disconnect. But for the most part, I think there was just – it was a good kind of collection cycle and so forth. So I think nothing really unique, I would say in this quarter other than that one facility's restructuring element.
Tore Svanberg: Very impressive guys. Thank you very much.
Kishore Seendripu: Thank you.
Operator: Our next question comes from the line of Suji Desilva.
Suji Desilva: Okay, great. Congratulation on the acquisitions here. Just a couple of questions on those, would be the effort you have that were in house and acquired, would there be any duplicate the efforts that you can realize synergies from and the operating expense side?
Kishore Seendripu: Firstly, here is a good deal. It's a very, very complimentary asset in terms of technology, that we were going to build on our road map and this acquisition accelerates the availability of the technology, where you have paid it upfront without doing all the R&D and the time lost in the process. However, on the OpEx side, that definitely synergies, because over the last 10 years there've been investments in developing the point narrow-band RF receivers in the Microwave Backhaul in Broadcom, and whereas MaxLinear has already completed the design for the broadband entire license spectrum, 5 gigahertz to 45 gigahertz frequency of these Microwave of the Backhaul radios and we'll be announcing the product soon. So clearly, we will not have to invest in developing new radios in the acquired entity. So that would be the ongoing forward synergies on the R&D side on the OpEx. With regarding sales marketing channels use, since we'd all talking to the same customers, be it backhaul or wireless access, I think you should see consolidation in both aspects of the business.
Suji Desilva: Okay. Great. And then maybe a higher level question [indiscernible] what the challenges of selling into the wireless infrastructure market versus the traditional broadband and market that you've been servicing if there's – you can say them similar or whether it's different challenges there?
Kishore Seendripu: I would see they are similar, but they're very different, the broadband operators typically all the products we developed have very, very customized solution that have to pass internal qualifications in the cable case you've to pass cable DOCSIS certifications. In the satellite case, each satellite operator has their own specific recipe for the satellite modem technology, we have to pass that. So the operators in some ways are more difficult because there is a huge certification barrier inside the operators. With the infrastructure customers, that the good is the fact that these are very protocol dependent standardized protocol solutions, so one solution that works for one infrastructure customer works for the others very easily, with some minor customization, mostly the software or firmware layers. So, they're different, however, the time to revenues in both the markets is equally long, and however, the barriers to entry is also very, very high. And the good news is the product cycles of infrastructure even longer that TAMs are much bigger, so I would say in that sense the wireless wireline infrastructure revenues are far more long-term growth and size vectors than that of the broadband operators that we serve traditionally.
Suji Desilva: Thanks, Kishore. Nice job on the quarter guys.
Kishore Seendripu: Thank you.
Operator: Our next question comes from the line of Ross Seymore.
Ross Seymore: Hi, guys. Thanks a lot. Let me ask you a question, one more about the two deals that you did, obviously very different from in Tropic, where there is some legacy businesses and a lot of OpEx synergies, this seem to be much more growth oriented, and Kishore you went through some of the TAMs that we can look forward to. But generally speaking from the revenue levels that you said these businesses are operating today. Any sort of hints as to the growth rate you would expect second half of this year how much that as revenue or 2017, 2018, any sort of bands around the growth you expect?
Kishore Seendripu: Ross, I think it's very early to call this because we won't have our own estimate on more towards diligent of what the opportunities and potentials of our revenue growth. I can say there is a good growth revenues and these platforms ramp slowly, but the revenues are growing and they're meaningful. I think right now what we expect is that the close of acquisition of the Broadcom wireless backhaul assets, Adam is going to set a date for updating these numbers and some guidance related to these two acquisitions in the revenue and OpEx impact moving forward. I think at this stage it's quite early to talk about these things.
Ross Seymore: Adam maybe I might run into the same issue with my second question, but when you said the deals to be accretive in the third quarter, generally speaking, any sort of metrics as to what level accretion or kind of what are the moving parts towards that accretion?
Adam Spice: Yes, so I would say again, when we get to the deal supposed to close on or around July 1st, I think, much like we did with Entropic acquisition where after we closed the deal we provide the street with a much better view of what the remainder of the year should look like. That would be our current plan as well here. I would say, of course, we do have a view about revenue and revenue growth and certainly contribution in the second half of the year and we'll give you that color again what the deals close out. I don’t think it's appropriate to that quite yet given the fact that we haven't got the deal – the second deal close. On the first deal, we that business is, if you want say kind of roughly, if we could, on an annualized basis this year would be kind of $5 million to $10 million the Microsemi deal. So if you think about – but we are only owing that for a partial years seem you got of back into you think the revenue contribution might be from this point. And that business should be a very nice grower, I think that one should not have to similar growth rates to kind of what we have been talking about for our high-speed optical interconnect business. And then I think when you talk about the Broadcom business it’s a more – it’s a larger asset from a revenue perspective on a current run rate basis, but we are also excited about the growth rate there too. So, I don't think that the growth rates for either one of these are not to be skinny growth rates once we start looking at the 2017, 2018 timeframes. So it’s not like these are pre-revenue assets they come with revenue when we got a pretty good feel for where the design wins are and where kind of current platforms are ramping and so forth. I would say that, as far as the accretion levels again, we'll provide more color on that. Of course, we haven't done the purchase price accounting yet, so it's very difficult to give any GAAP numbers. But if you can – let me say accretive – it will be accretive by I think when we are talking about the type of earnings that were generating right now as you seen in Q1 or in guidance for Q2, it would take quite a bit to move the needle. But I think that the main emphasis here is these will not be drags to our non-GAAP EPS. They will be the accretion, but I don't think they'll be move needle moving needle moving in the remainder of 2016.
Ross Seymore: Gotcha. Thanks for that detail and I realize it's difficult to answer to some of the questions and say actually have the assets. One that you actually do own and you guided to the size drop in the second quarter is the legacy at Sock business. Just looking a little further out, you guys have some decent visibility into the back half of the year, any sir a color on glide path for that business down – we all know the direction, but any sort of color as to what the slope of that curve?
Kishore Seendripu: So Ross, I will take the question. I think, we were very clear in the earnings call as to how that it's looking soft, but having said that, I will just lean a little bit forward and see that why the longer-term trend is what you are just mentioned about declining go to period of time. We still see a stable Q3 and beyond that is very hard to speculate but you know there is some cloud uncertainty developing because the Charter Time Warner acquisition and what the decision moving forward is going to be. And the other dynamic is that the whether it’s Comcast Cox, Timer Warner and so on so forth. What is the deployment plan going to be in the future in terms of which platform they going to deploy are they go to strict to the legacy HD-DTA or deploy the XID platform which is part of the Comcast X platform offering. And in that case, if the displacement is going to happen with XID platform obviously the revenue is going to be low, but we are the front end on the back ends of those chips 100%. So, we will be replacing with the video revenues associate with the front ends for those platform. So we don't know these dynamics are going to play out, but I think – I can tell you for now if I lean forward a little bit that Q3 is looking stable relative to Q2 guidance.
Ross Seymore: Great. Thank you.
Operator: Your next question will come from the line of Krishna Shaker.
Krishna Shaker: Yes, Kishore and Adam, congratulations on the nice results and the acquisitions. Can you talk about the optical interconnect business and what the areas you're seeing strength there, is it a metro-telecom and also if it is datacenter. Can you talk about what product lines are you seeing good demand in?
Kishore Seendripu: Hi, Krishna, this is Kishore. It will be really excited about growth in our optical interconnect I mean we had a strong Q1. We are guiding for a strong Q2 and the Q2 is going to be particularly strong because of the fact that there was a pent-up demand, it was a supply constraint. So, we really finally relieved that supply constrains are playing a lot of catch up. The growth is primarily coming with 100-gigabit per second drivers, explicitly and exclusively in the Metro telecom markets with the Chinese OEMs and there are one or two categories of drivers. The primary driver for being long-haul and is a newer driver, we've have launched for sort of the metro markets. So, those would be the drivers of the revenue. And as you move to the end of the second half of the year, you'll start seeing the TIA's come in being used in - being designed in and maybe ramping at the end of the year for the datacenter markets. So, we don't expect this year to have a much - or in much revenues in TIAs for data centers, or for long-haul metro markets – going to be primarily driver revenues both for metro and the long-haul market.
Krishna Shankar : Okay. And then, as you look at 2016 in total, would you expect your service provider part of your revenues to grow versus 2015, and will cable or satellite grow more versus 2015?
Kishore Seendripu: I think if you look at all of our revenues, relative to - I'll let Adam speak for this, but I think generally, our operator revenues in size relative to last year are going to be growing. I can't give a quarter-to-quarter comparisons since we only guide for the quarter, but we expect them to be growing. Adam, do you have anymore color.
Adam Spice: Yes, I think there are different pieces moving around. I think overall, buyers towards growth that we're seeing right now. But I would say that as we've talked about – we talked about the channel stacking as a category of products I kind of provide some detail earlier there. But that should be relatively stable over the next couple of quarters. It's hard to compare year-over-year for that because there wasn't much digital in the mix. This time last year where there is significant mix of digital channel stacking right now. Certainly the – as Kishore mentioned his comments the cable data business is done quite well in the first half or has teed up very well for the first half of this year relative to last year. So I think cables is certainly a grower year-on-year comparative. I think as channel stacking, it's harder to get the mixed bag. Again, we didn't own the whole platform this time last year between analog and digital. When you look at satellite certainly your satellite gateways are ramping very, very nicely for us this year versus last year there’s a lot of scale there. I think overall it's very good news from the operators if you compare this time last year to where we are right now.
Krishna Shankar : Okay, thank you.
Operator: Thank you. Our next question is going to come from the line of Quinn Bolton.
Quinn Bolton: Hey guys, congratulations on the nice cash flow in the quarter and on the acquisitions. Just wanted to touch on the acquisitions. I think for the Provigent or the Broadcom acquisition, you discussed in the press release bringing over about 120 heads. Can you give us any sense what the OpEx associated with that group might be? And then, I've got a couple of follow-ups on the core business.
Adam Spice: Hey, Quinn, so yes. The business currently has a 120 people. As Kishore mentioned once we get closer to or actually to get past the close after on July first, we’ll provide a lot more color there. It's really too early to talk about kind of how the groups coming together are going to look two months from now. So I would just hold that question and get back to you a little later on that.
Quinn Bolton: Understood. Okay. And then on the channel stacker business, it sounds like across analog and digital, you're looking for a relatively stable outlook. But I think you mentioned that the analog channel stackers were down. Have we started to see the transition from analog to digital channel stackers at your largest customer or is there another dynamic going on between analog and digital?
Kishore Seendripu: Hey, Quinn. I will take the question. There's no large dynamic that's going on that between analog and digital stacking. It's what we expected. As Adam said the category is looking stable may be a couple of quarters out. The question right now is that we have a little bit of a softer outlook looking forward as the primary customer for analog channel stacking is still trying to figure out, when and what, and how much of digital channel stacking they will be rolling all relative to the analog channel stacking. It’s possible nothing happens, but under those circumstances the visibility not being that clear and it's fluctuating, it’s highly volatile. So, we decided to take a conservative view on that and in our forecasting of how that plays out. Having said that the category it’s looking for stable, certain operators are doing incredibly strong. There are many other digital channels stacking operators are coming online in the second half of this year. So I think as an overall category we feel very good that it's going to be a good stable business for us.
Quinn Bolton: Okay. But if I just sort of infer from your comments it sounds like based on the ramp of some of your digital channels stackers, the digital gross, and offsets a decline in analog is how you would sort of forecast the business over the next couple of quarters.
Adam Spice: Yes, I think Quinn – I think we’ve been pretty consistent, in the last three or four quarters about what we think the profile of analog and digital are going to be, I think, we've had the benefit of having a strong analog channels stacking business at that primary customer well. Other carriers started operators started to ramp the digital channel stacking, one operator particular. And so we really had a very nice period where we've had no analog headwinds offsetting the growth from digital. I think in some point that will be confronted right where you'll have the inevitable kind of tailing off of the analog revenue and we've got account on the replacement of the digital revenue to offset that and there could be a period of time where we have a little bit an air pocket where as a category, it comes down a little bit before it starts to build back up when everyone's kind of solidly in their transition to digital. So, I would say that right now, it's really kind of, as Kishore said, it's a little bit too early to tell. We don't have great clarity from the primary analog channel stacking operator, but I think we get more information kind of each month as we move through the year. I think right now, all we know is we can see for the next kind of the quarter that we are in and then the quarter after that, beyond that we really don't have a lot of visibility. But, I do think that as a category, we've been kind of running in that kind of 20 – you'll get a category of channel stacking it’s been in the kind of the 20’s, low-20’s as far as total revenue, does it stay out there, it will certainly get back to that point once it start kind of have some of those headwinds presenting itself, but there could be a period where it certainly could be in the teens, right in the middle teens for example. But I think we can't see that right now, but I think it's kind of a – that would be a comment as you way to view the opportunity where you've got maybe a little bit of a valley for digital solidly provides the long-term growth trajectory for the business.
Kishore Seendripu: I just wanted to add a comment to what Adam said that right now the primary consumer of the analog channel stacking has not ramped or is taking any shipments of digital channel stacking from MaxLinear. So I think it has not started if you will on the trend, but having said that, we are being cautious about how it plays out, later-off and later-on.
Quinn Bolton: Understood. And then just sort of final questions. Adam. I think in your comments about R&D, you mentioned in repayment. Just wondering if you could give us anymore color on that, is that from the one of your infrastructure businesses?
Adam Spice: No, it was actually related to legacy video SoC. So there is just some – it’s relatively minor kind of ongoing NRE for some support – for some ongoing product support.
Quinn Bolton: Got it. Okay, great. Thank you.
Operator: Your next question comes from the line of Anil Doradla.
Anil Doradla: Hey, guys. Congrats once again. When I look at Provigent, Provigent was there call it four or five years ago and when we looked at it, the good news was that Provigent's entry was – they were expected to innovate significantly in the whole microwave space where there was not a lot of innovation and the revenues that you had in your press release around $29 million, that's lower than what Provigent originally had. So the question I had was doesn't sound like Broadcom was able to lever these assets up much, and one of the criticisms that we have heard periodically is, there's not a lot of willingness to perhaps change the microwave infrastructure, it tends to be if it's working, let's not fix it. So walk us through – you guys obviously are going to piece this together with other portions of your business, walk us through why you believe that you could do a much better job and you could revert this back to growth?
Kishore Seendripu: So Anil, let me – I think there is some qualifications to your understanding of the story of Provigent. And I can only speculate based on what we have learned in the market. We don't know the internal goings on inside Broadcom at that time. The first thing is that, our understanding was that one major customer was a source of the biggest revenue for them at that time, that was ramping who later went to an internal silicon solution. So that resulted in a decline in the revenues of that particular big customer, while they were ramping revenues at other customers. So as a result, the deep down before they again started picking-up in revenues, I think that is a big disconnect in the perception of people. So they actually have been successful in securing design wins with Tier 1 OEMs now that are ramping. Secondly, one of the reason they were not successful is for the longest and the strategy was to bundle their baseband with the RF radio solution that was really subpar in its performance. When that was coupled in that manner, the OEM interest in buying both the radio and their baseband was limited until they changed strategy and decided to promote only the baseband. So what you have opportunity here is, on other hand MaxLinear has been promoting only the radio solutions because, we wanted to get to the baseband in a sequential manner on the modem side and the real customer pull was, why you guys developed the radio first, and then we'll come to the baseband. So what the customers have done in the background is that, they have been qualifying the Broadcom baseband, while they have been working engaged very actively with MaxLinear's radio. So in that sense, it really works very nicely when these both these assets come together. So that may explain the contradictions or gaps in your understanding of what – how it played out and what it's going to play out in the future. So together these are going to be revenue synergies and but Tier 1 OEMs the both us each are working with will pick up part of our end customer base for us.
Adam Spice: I would add a little bit to that Anil too. I think that, also in the process of doing our diligence on these assets it became pretty clear to us there is a tremendous amount of IP that's been develop by this is very talented team in Israel. And it actually was a very good thing for us to be able to do this diligence and still because it would been a very, very, very significant development undertaking internally the MaxLinear to do this organically. I think we have been very successful because we did focused on the RF development for this backhaul market, but there is a – I think people could easily underestimate how much work it really took on the development side to get the platform to where it is within Provigent. So we're very, very excited to be able take kind of the running start and in the tremendous amount of technology that’s been developed and move that forward like mining with RF. So it’s a very, very nicely sitting assets from that perspective. I am just very glad that we actually didn’t have to develop all that technology from scratch.
Kishore Seendripu: So I don't thing, as we've talked a lot about the Microwave Backhaul, that we should not underestimate the value and importance of the Millimeter-wave modem solutions that Broadcom has developed, as you want to go to a multiple gigabit to the maximum even 10 gigabits per second data waves or wireless backhaul and then later the evolution of 5G and small cells and densification the networks, the Millimeter-wave backhaul is going to be equally if not even more important than Microwave backhaul and the market size whether - is significantly higher. So I think that we're acquiring the millimeter-wave backhaul solutions that we don't even don't even have into the MaxLinear portfolio in terms of both the radio and the baseband modems and what we get with the Broadcom acquisition position in addition in the future roadmap items our millimeter-wave backhaul modem and millimeter-wave radio solutions, narrowband which will eventually be able to move to CMOS and come up with a single chip solution for the entire market.
Anil Doradla: Okay. Great. And just one clarification. In the press release a couple of days ago, you talked about a certain TAM. I think it was about $500 million. Today, you're talking about another TAM, which is larger. So in the opening remarks, when you talked about the $700 million SAM going to $1 billion by 2021, is that the combination of these both acquisitions or is it just from today's acquisition?
Kishore Seendripu: The combination of both assets. Right, if you look at the press releases it clearly states that if the RF transceiver access assets and the RF microwave backhaul radio and the baseband modem assets combined, its $700 million dollars of which about $400 million to $500 million is the access side on the 4G market. And then you know the remaining is the microwave backhaul at that point in time. And then we go through $700 million to a $1 billion is you know the number of transceivers in the wireless access that keep increasing as you go towards massive MIMO. And in each radio head you’ll have multiple radio transceivers. On the backhaul side you have the again have a dual carrier multiple MIMO systems also being developed for greater capacity in the microwave link leading up to a millimeter-wave links, that results in that billion dollar SAM we talked about. And beyond that in the 5G market it’s a whole different ball game, because I can get into the details but suffice it to say that you are going to have beam-forming arrays and massive MIMO with 16 antennas - elements for each sectorized antenna inside a microwave base station. So if you just do the math, it just exponentially grows, but that's beyond 2020. So that is all we built up the SAM internally using third-party data and our own data. So that's how you get to these multibillion dollar market opportunity in the long-term.
Anil Doradla: Very good. And once again, congrats on the amazing transformation you guys are - you've embarked upon into the infrastructure markets.
Operator: Your last question comes from the line of Tore Svanberg.
Tore Svanberg: Yes. Just had a follow-up. I think for the Broadcom acquisition, you're spending about $80 million in cash. Can you just talk a little bit about how you intend to fund that? It's going to be from your balance sheet or will you be raising any debt?
Adam Spice: Yes, Tore. As I mentioned so we've got – we closed the quarter with a $166 million plus in cash and cash equivalents. So we're going to fund it off for the balance sheet. And given the guidance that we've just provided will be generating, again pretty strong cash flow in Q2. So even once these – the Broadcom deal close on June 30, or July 1 on the quarter boundary. If you take consideration that cash comes out of that $80 million we are going of out of pocket about $101 million. We should still end Q2 or kind of around that time frame once these deals are funded that you know again approaching a $100 million of cash So we don't have any liquidity constraints or concerns and as you know we have no debt. So we feel very good about our position to continue looking at strategic ways to accelerate entrance of these new markets as well.
Tore Svanberg: That's a great clarification. And then, you talked about DOCSIS 3.1 starting to ramp in the second half. I'm just trying to understand sort of the slope there, at least based on some of the conversations that you've had with customers. Is it going to be sort of a small upgrade cycle and then it's sort of accelerates next year? Help us understand a little bit, how you see that product cycle for you?
Adam Spice: Okay. Tore. The way to think of DOCSIS 3.1 is the primary player who will be deploying the DOCSIS 3.1 data very, very aggressively will be first Comcast, right. And if you think of Comcast volume of about $6 million to $8 million of data gateways for this year, let's see. We expect sometime in the Q3, Q4 timeframe of around 10% or more. We expect to be – in volume quantities to be DOCSIS 3.1. Now on the run rate basis maybe it’s higher ending the year, but we don’t expect to see more than 10% deployment at this stage of conservative forecasting on DOCSIS 3.1. Can it be higher? Yes, but I think that next year it really takes off pretty rapidly because you’ll be ending the year on a fast clip. So now how steep will be the hockey stick, I don’t at this stage, but we’ll have more clarity as we enter the next earnings call.
Tore Svanberg: Very good. Just one last question. You talked about the satellite gateways being driven by 4K. Again, similar question, is this sort of just the initial ramp and is this something that will gradually continue to grow going forward?
Adam Spice: Yes. It's looking like a pretty good, strong growth. I think if you go to Europe, if you look at the ads from Sky, the Q platform, that's all MaxLinear front-end. In fact, 100% of the front end of the satellite gateway in the Sky in Europe and in UK and we’ll have growth well beyond that. Then, even North America, a major satellite operator is deploying 4K satellite gateways on their main box and I think this keeps continuing growing actually. Actually, we are quite excited that finally satellite gateway is growing very steadily and we hope to continue it to grow into next year and beyond. It’s a three-year cycle, it’s a typically way we forecast the ramps. So we should see strong growth as even more new operators come online.
Tore Svanberg: Sounds good. Thanks, again.
Adam Spice: Thank you. End of Q&A
Kishore Seendripu: Thank you everyone. I think with that we would like to end the call here. I would say. Thank you, operator and also I want to remind everyone, that we will be participate in the Deutsche Bank 9th Annual Semiconductor Conference on May 19 in San Francisco, The B. Riley 17th Annual Investment Conference on May 25 in Los Angeles, the Benchmark Company One-on-One Conference on June 2 in Milwaukee, the Stifel 2016 Technology, Internet and Media Conference June 7 in San Francisco and the William Blair's 36th Annual Growth Stock Conference on June 16 in Chicago. So we hope to see many of you there. With that I want to thank all you for joining us today and we hope to – and look forward to reporting on our progress to you in the next quarter. Thank you.
Operator: This concludes today's conference call. You may now disconnect.